Magnus Ahlqvist: Good morning, everyone. And warm welcome to our Q4 Results Presentation. We’ve had good progress in 2024 in terms of executing on our strategy and similar to the last couple of quarters we are about to finish the year with significant performance improvement versus last year. So let’s go straight into some of the highlights of the quarter. We delivered 4% organic growth for the Group and 6% sales growth in Technology and Solutions, and the operating margin improved to 7.3%. Similar to the third quarter Europe with Security Services contributed with good results but we also had good contribution from Security Services North America and our global Technology and Solutions businesses. The operating cash flow was very good at 153% in the quarter and 84% for the full year, and improved profitability in combination with strong cash flow are contributing to continued deleveraging and we closed the year with a net debt-to-EBITDA ratio of 2.5 times. So the performance across the Group is good and the Board of Directors propose a dividend increase to SEK4.50 to the annual general meeting in May. But as we build in the new Securitas we have identified further opportunities to optimize how we run the business and primarily in Europe, and to this end we have initiated an optimization program that we will execute in 2025 and that will generate savings of approximately SEK200 million on an annual basis. And the business optimization program is really the result of a stronger more digital scalable Securitas after having finalized now the STANLEY integration successfully and making good progress in our transformation. So thanks to increasing usage of AI that we have been investing in since 2018 we can now leverage that to also then optimize how we run the business and we’re increasing automation thanks to more modern platforms and we’re able to run the business at the structurally lower cost base. So all of that I think is really positive opportunity that we have now and that we decided to execute on during this year. And as previously communicated we continue to assess all parts of the business and we have initiated a process to divest the Aviation business in France. But looking then at the business line we recorded good improvement in both areas and the growth in Security Services was 3% in Q4. The commercial momentum is good and we’re continuously developing our value proposition and new sales across the group are coming in at higher levels than before. And the EBITDA margin of 5.5% represents continued improvement versus last year and Europe is the main driver. The resale growth in Technology and Solutions was 6% in the quarter and we’re now finalizing the STANLEY integration work and this will enable us to put more focus on commercial development as we go forward. Operating margin within Technology and Solutions improved 20 basis points to 11.6%. So, all in all, good development across the different lines of business. Let’s then move to the segments and as always we are starting with North America where we recorded 2% organic sales growth in the quarter. Good momentum in technology contributed but then as previously communicated we have a termination of an Aviation contract from the beginning of 2024. I think it was in March April timeframe that had a negative impact on the growth in services but commercial activity is good and I expect stronger topline momentum in Guarding in 2025. Technology and Solutions represent 37% of total sales now and the client retention at 87% a little bit lower where we would normally be but that’s related to the termination of the Aviation contract that I mentioned before. And turning then to the profitability we recorded an operating margin of 9.3%. Operating margin in Guarding improved in the fourth quarter but the margin in technology was good but slightly behind last year where we had a strong comparative. System implementation challenges in Pinkerton hampered the result in Q4, but we are on a better path now. We have a good grip on the situation and I expect performance to continue to improve in the coming quarters. So when looking at the totality our teams in North America have been doing a solid job in 2024. Shifting then to Europe where we recorded 5% organic sales growth and healthy price increases in the services business are contributing and similar to previous quarters the hyperinflationary environment in Turkey account for a significant share of the growth. But it’s important to highlight and also visible in the slide here that we are now coming out of the inflationary period which means that the price driven growth is coming down as expected. And while there is a negative impact from active portfolio management we feel very good about the new sales that are coming in at high margins and that’s essentially based on a stronger value proposition more digital capabilities than what we’ve had an opportunity to offer the clients in the past. Technology and Solutions supported with decent growth in the quarter, and Technology and Solutions now represent 34% of sales. Client retention is good at 92%. And looking then at the profitability we achieved an operating margin of 7% in the quarter and this represents a good improvement versus the same period last year. An improvement in services is the main driver. High margin on new sales in services and active portfolio management are the two main drivers of the improvement in the services part of the business. But as commented in the Q3 report we have been driving a focused agenda for a number of years now to change the way that we are doing business with a firm approach in terms of Guarding Services profitability and this means prioritizing quality over volume. And while there is more work to be done our European team have done a really good job in driving a positive impact on a broad basis in 2024 and this work will continue in 2025. The Airport Security business supported the margin but the margin in Technology and Solutions was slightly behind last year on a strong comparative. But when looking at the totality, the performance improvement in Europe is one of the important achievements across the Securitas Group in 2024 and I just want to share that recognition also for the entire team. Moving then to Ibero-America where we’ve had good continued development. Organic sales growth was 3% and good momentum in Technology and Solutions sales is the main driver. Organic growth in the Spanish market was 3% in the quarter. And we continue to drive a positive mix change, Technology and Solutions sales represented 37% of sales in the quarter. Client retention healthy at 90%. And shifting then to the profitability with 7.5% operating margin and this is the highest operating margin to my knowledge that we have achieved in Ibero-America. So very strong performance in Technology and Solutions is the main driver with a positive impact from the revenue mix change. And we also have a number of markets across Ibero-America that have been driving good progress in 2024 and that’s not only Spain and Portugal, but also across Latin America. And our team have been driving on the totality significant improvement. So that concludes the overview of the performance in the different segments. Now happy to welcome you Andreas for some more details and the finance update.
Andreas Lindback: Thank you, Magnus. And we start with the income statement where we had organic sales growth of 4% in the quarter and a good 0.5 percentage points margin improvement. Looking below operating result we had SEK184 million of costs related to amortization of acquisition related intangibles and an income of SEK35 million on acquisition related costs. In the quarter we had a SEK32 million revaluation of deferred consideration related to a historical acquisition explaining the positive amount in acquisition related cost. And at the same time we have accelerated the amortization of the client portfolio for the same acquisition under acquisition related intangibles explaining the higher than normal amortization. Net there is no material impact, no cash impact and these effects are of non-recurring nature. Items affecting comparability was substantially lower than last year at SEK128 million where continued reduced spend both under the transformation programs and in the STANLEY integration program supported. And I will come back as usual here with more details related to IAC shortly. The financial net is coming in at SEK529 million which is around SEK100 million lower than last year and the IAS 29 hyperinflation and FX gains and losses was SEK65 million of that improvement, while the underlying interest net was down SEK34 million compared to last year. And this is mainly explained by reduced interest rates and also reduced debt levels. For the full year the cost was approximately SEK2.3 billion in total and SEK2.4 billion adjusted for hyperinflation and FX which is also in line with our previous guidance for the full year. We expect to see continued reduction in our interest net in 2025 as interest rates has come down and as we reduce our debt levels throughout the year and we estimate our finance net to land around SEK2.1 billion to SEK2.2 billion for the full year 2025 excluding then any impacts from IAS 29 and FX. Moving to tax where our full year tax rate landed at 26.3% also here in line with our previous full year forecast we provided in the third quarter. And as a reminder last year’s tax rate was negatively impacted by the SEK3.3 billion non-deductible capital loss in Argentina and also positively impacted by reverses of tax provisions related to Spain in Q4. Adjusted for this the tax rate for 2023 was 26.9%. Let us then move to our programs under items affecting comparability. Looking first at the European and Ibero-America transformation programs where we saw good progress in the transformation work and also continued reduced investment levels according to plan. At the end of the year we closed the Ibero-America program down and moved continued development into the daily operations in the division. In Europe some work is remaining which we plan to execute upon over 2025 and 2026 at continued lower investment levels and we estimate we will have an investment of approximately SEK150 million in 2025 under items affecting comparabilities and also with limited CapEx needs I should also say. Related to our STANLEY integration we finalized the last activities mainly in Europe in the fourth quarter and the integration of STANLEY has been a large and complex undertaking due to the size of the acquisition we made as it was a carve out from STANLEY and as we have also been driving a deep integration into Securitas to build a globally leading technology business. Here our previous acquisition integration experience and strong integration management has been key to the strong position we are in today after completing the integration work and at the same time as we have managed this we have also managed to stay market focused, growing the business well and driving cost synergies and other margin improvement initiatives through. Looking into 2025 we will now turn our focus and efforts to strong operational delivery and accelerated client engagement. Looking at the cost, the full year 2024 landed at SEK594 million, which is within the cost range we guided for earlier in Q3 and for clarity there will be no further cost into 2025. With the integration of STANLEY now completed and with an increasingly digital client engagements, digital operations and also support services through our transformation programs we built a more modern and scalable operations today just compared to just a few years ago and as we also start to see increase our usage and draw learnings from how we can benefit from AI to be more effective in how we run the business this accelerates the opportunities for us to work more effective as an organization at a structurally lower cost base. Now in January we have started to execute upon an additional SEK200 million in identified annualized cost savings primarily focused into Europe and we plan to have these activities finalized by the end of the year with full run rate saving effect from the beginning of 2026. There are three main focus areas in the program. The first one is related to our branch network where digital tools and AI are enabling us to optimize our branch network both from a cost perspective, as well as in terms of optimal proximity to our clients and to our people. Secondly as we have built modern platforms and processes, we are also very focused on maximizing the benefits coming from optimization and scale in our support services, and we will continue to take cost out and leverage the platforms we have to create a structurally lower cost base. The third area of focus in the program is to restructure or close down non-performing businesses and activities across Europe mainly. The program cost is estimated to around SEK225 million which will be reported as an investment under items affecting comparability throughout the year. The SEK225 million is basically all cash as well and the same also goes for the cost savings and there is no major CapEx requirements related to the program. We have been going through a period of investments into our transformation programs and the STANLEY integration over the last couple of years. The investments under IAC peaked in 2023 with a total cost of SEK1.35 billion. In 2024 the investments reduced significantly to approximately SEK750 million and in 2025 we will continue to substantially reduce our IAC under the programs and estimate to land at approximately SEK375 million. Moving then to an overview related to currency and the FX adjusted result development and here we saw positive impact from currencies in the quarter mainly related to the U.S. dollar which strengthened in the quarter but also had a lower comparative last year. On sales there was a 2% positive impact from FX with a similar impact also looking at the operating result. The impact on the EPS was higher mainly due to the different currency mix we have below the operating result. The fourth quarter EPS real change was strong at 39% and this was derived from the real change on operating income also being solid at 11% and with positive contribution from the reduced investments in items affecting comparability, reduced underlying interest net and lower tax rates. The EPS real change excluding items affecting comparability was 19%. We then moved to the potential divestment of our Aviation business in France and as we have communicated earlier we are continuing to assess our business mix and presence continuously to strengthen both our strategic position and our performance and by the end of 2025 we signed the put option agreement to divest our Aviation operations in France where our assessment is that there is limited opportunities for us to develop this business in line with our strategy and with the healthy financial performance in the mid- and the long-term. The transaction is subject to a mandatory consultation process with the workers’ council which is currently ongoing. Looking at the business itself, the business had sales of approximately SEK1.5 billion in 2024 and with an operating margin well below average in Securitas Europe. We will now await the outcome of the consultation process and thereafter come back with more details but we do not expect any material impact on our Group balance sheet or cash flow. We then moved to cash flow where we delivered a strong operating cash flow in the fourth quarter and exceeded our financial targets for the full year. The Q4 operating cash flow was SEK4.6 billion or 153% of the operating result supported by continued improvements in our day sales outstanding or DSO and also supported by lower organic growth rates. Our CapEx was 2.4% of sales in the quarter and 2.5% for the full year and as expected we see continued reduced CapEx from our transformation programs and we also benefit from our cloud first strategy driving the need for CapEx down further. Looking at 2025 we foresee we will remain around the current levels of CapEx to sales of approximately 2.5%. We also saw solid improved cash generation in our technology business mainly North America both in the fourth quarter and over the full year of 2024. As the integration work has come to an end we have focused our efforts into streamlining and automizing our order to cash process and together with other working capital improvements this has further strengthened the cash generation throughout the year. The full year operating cash flow landed at 84% and as we mentioned in the Capital Markets Day earlier in 2024, we are driving a number of projects to structurally improve our working capital position and this has paid off this year supporting our cash generation positively. If we then look at the free cash flow which landed at SEK3.7 billion in the quarter. This was mainly supported by the strong operating cash flow and lower interest payments as expected and as we have also previously guided for. Looking into 2025, it is important to remember that the first half year as always is a seasonally weaker in comparison to the second half of the year. Having this said, we have delivered strong operating cash flows the last years and we are in a solid good position to be able to deliver an operating cash flow between 70% to 80% also in 2025. We then have a look at our net debt which landed at SEK37.9 billion by the end of the quarter. This is down approximately SEK0.5 billion compared to Q3 positively impacted by the SEK3.7 billion free cash flow we generated and negatively impacted by the SEK1.1 billion dividend paid in the quarter and also a materially negative translation impact of SEK1.9 billion due to the weakened Swedish krona. According to plan cash out from items affecting comparability was also lower in the quarter. As a reminder we plan to pay the US$53 million settlement related to the U.S. Government and Paragon in 2025, and the payment is planned to be executed in three equal installments in the first quarter, the third quarter and the fourth quarter of the year. Thanks to the strong cash generation and also the strong result development our net debt-to-EBITDA reduced to 2.5 times, which is down from 2.7 times both in Q3 2024 and Q4 2023, and we have a strong balance sheet today and are well below our target net debt to EBITDA of less than 3 times. Moving on to have a look at our financing and financial position where we continue to have a strong balance sheet, good liquidity and we remain without any financial covenants in our debt facilities. We also have our RCF in place of more than €1 billion which matures in 2027 and it remained undrawn as per quarter end. In October we closed out the SEK1.5 billion private placement with maturity in 2026. This facility was used to partly pay off existing maturities of around SEK3 billion in the fourth quarter and the residual maturing amount was paid off with cash at hand reducing our gross debt. In December we signed a new short-term bank facility of €400 million. This is a backup facility only to create timing flexibility for us when we are addressing our 2025 maturities and the facility remains undrawn. Looking at the debt maturity chart on the right-hand side, we have approximately SEK5 billion to refinance in 2025, which is materially less than previous years and our base plan here is to be active in the Eurobond market in the first quarter, but also to ensure we have the ability to continue to repay debt throughout 2025 as we generate cash. To summarize, we have a strong credit position today where we are focused on repaying debt as we generate cash. We also want to minimize our interest cost and have a solid debt maturity profile, and we continue to remain committed to our investment grade rating. So, with that, I hand over back to you Magnus.
Magnus Ahlqvist: Very good. Many thanks, Andreas. So, just a few minutes on our development, because during the last five years to six years we have been driving an active transformation of Securitas as many of you are well aware. This has been a client-centric transformation created leading offering to our clients but also provide higher value to our shareholders and since we are wrapping up another year now we thought it would be good to just provide an overview of the development looking at a few important indicators. And starting with the margin we’re now starting to see the positive impact from the transformation work and the investments that we have done. So historically we were operating around 5.1%, 5.2% operating margin, but after now consecutive years of improvement we achieved 6.9% for the full year 2024. And we are delivering according to our plan and are fully committed to achieve 8% by the end of this year. Looking at the cash flow, we have a target range between 70% and 80% operating cash flow and we are delivering within or above that range for a number of years now. And higher profitability together with healthy cash flow have contributed to strong deleveraging like Andreas highlighted to a healthy 2.5 times by the end of 2024. And as communicated in 2019 when we shared the strategy for this current phase and the priorities for this transformation we highlighted that this will be a multiyear journey and that the profound modernization and digitalization of the business together we are building up a technology business and capability would also entail significant investments. And when you’re looking then at the lower right corner and here we’ve then highlighted the IAC trend, you can see an outline of what has been recorded as items affecting comparability in this period. A few years ago we concluded the global IT and the North America transformation programs successfully, and as we are closing 2024, we are now successfully concluding the STANLEY integration, which has been a large and complex integration effort, but also the Ibero-America transformation program. And in all of those areas we are now running the business at a better level, we have delivered based on what we set out to do and we’re now shifting more focus to business as usual. In Europe we still have some work remaining like Andreas highlighted in 2025 and 2026, but all of the above, means that we are driving a material reduction in items affecting comparability and as we’ve highlighted earlier we estimate IAC in 2025 of approximately SEK375 million. And I’m also glad to highlight that our team is executing on the plan we set in 2019 initially and we’re now entering a phase with less heavy lifting and less heavy transformation work. So, with that, we are ready to wrap up the presentation. It’s a good quarter and end of the year, so operating margin improving 50 basis points to 7.3%, strong cash flow and we have completed important transformation programs and we continue to sharpen and run the business more efficiently. And we are committed, as I said earlier, to achieve the 8% operating margin by the end of this year. So, with that, over to the Operator, and we will open up the Q&A.
Operator: [Operator Instructions] The next question comes from Remi Grenu from Morgan Stanley. Please go ahead.
Remi Grenu: Yes. Good morning. Thanks for the presentation and taking my question. So the first one is on the cash generation, so it’s been two quarters of good work in capital development, so just wondering whether something has changed and if you expect that improvement to be sustainable or any reverse or likely early this year, and within that working capital element, where is the improvement coming from. Is there any specific regions or anything segments or any specific segments in the business which is driving that improvement? So that would be the first question on the working cap. The second one is on the divestment of the French Airport business, so can you elaborate maybe on what has changed in that business so that you wanted to divest it and if there is any difference between the Aviation business in France versus other countries that explains why you’re divesting this one and what’s the expected kind of margin -- positive margin impact on the P&L and any consideration you would get out of the divestment of that business? Thanks.
Andreas Lindback: If we start with the cash generation, it was a strong year -- a strong quarter and a strong year when it comes to cash generation. And as I mentioned, you can say, we have been driving a number of initiatives to structurally take down our working capital which has given effect what stands out. This year is the technology business where we have done a really good job after the integration to optimize our audit cash processes and also other working capital items. So we do see this year an improved cash generation from the technology business compared to 2023 which is really good to see and that I would say is structural work that we have done throughout the year. So that is one point and then we see across the business that, I mean, it’s strong -- it’s basically strong cash generation across most businesses and that is really the result of the initiatives we are driving but also the increased focus we have on cash flow overall. When it comes to the question on Q4 spilling over into sort of into 2025, there is always a slight risk that there will be some spill over into the quarter, but we also had that in the beginning of 2024 as you remember and we still delivered an 84% operating cash flow for the full year 2024. So there might be some spill over into 20 -- into Q1 but we are still confident we can deliver strong cash flow for 2025 overall.
Magnus Ahlqvist: And then Remi on the second question related to Aviation, I have been very clear about the fact that we are assessing all parts of the business and when you’re looking at the Aviation market in France, this is a market that we have concluded it’s very price oriented, not so much focused on quality as we would like and based on that we have decided that we taken this decision to divest the business because we believe that it will be run in a better way by somebody else and feel good there in terms of responsible and serious hands taking over and so that’s the main driver. If you ask them the question how is that France in relation to the rest. It is one of the more significant aviation activities that we have in Europe, but like I said the market dynamics and the characteristics very, very price driven, which is not really similar or comparable in most of the other markets. In terms of the margin impact, we are performing well below the European average, so there is some positive impact also from that sense. It is around SEK1.5 billion that we have in turnover in France. But then in terms of your last question, I mean, we continue to assess all parts of the business, but obviously, we’ll only share news if there are news to be shared. But I believe this is a very good step and it’s a tough step but it’s an important one in our journey to become a stronger and sharper business.
Remi Grenu: Thanks very much.
Operator: The next question comes from Johan Eliason from Kepler Cheuvreux. Please go ahead.
Johan Eliason: Hi, Magnus. Hi, Andreas. This is Johan at Kepler Cheuvreux. Just a follow-up question here on the airport. I mean you’ve walked away from the U.S. airport contract as well last April, March or wherever whenever it was that was a big one. Now you plan to divest this in France as well. Are you happy with the remaining airport business and what size of that is it today if you sort of exclude now France? That’s my first question. Then secondly you guide in the presentation on CapEx going forward 2.5% of sales and you mentioned you had 2.5% of sales in 2024, but it’s been lower before and part of the 2024 CapEx has obviously been related to extra CapEx for these programs in Europe and Ibero-America. Now you say you are not -- the continuation of these programs are not driving any meaningful CapEx, but still you are guiding to a fairly high CapEx rate. Why is that and this -- is the 2.5% mainly for 2025 or should we expect this going forward maybe driven by the technology business or whatever? Thank you.
Magnus Ahlqvist: Thank you, Johan. So on the first question, yes, it is correct. We terminated that contract in North America because of the price. We delivered good quality and that was well recognized by the client but it was also then a sizable contract. We have improved the Aviation business and the general health of the Aviation business in a very significant way since the pandemic, because the pandemic obviously was an extraordinarily challenging time when the traveling came down very quickly, but we also had already started scrutinizing and reviewing true profitability on every contract. But I think that the general view from my side is that we have improved, but we’re also very disciplined in terms of the business that we have, it also has to support our targets, it has to support the strategic development. So I would also say that, this is something that we continue to work with in a very active way, but where we do good job we also need to be paid reasonable amounts so that we can also create real value not only to the client, but also to Securitas and our shareholders and there we just stay very disciplined. So I think that is that is as much as we can comment on at this point in time. We are in better shape overall, but we continue with high focus on the Airport Security business.
Andreas Lindback: Related to capital expenditures, here previously we have been guiding that we would be less than 3%, so now we’re taking a step and say, okay, we will be around 2.5%, which is then also the key reason for that is the reduced transformation -- CapEx into the transformation progress, but also our cloud first strategy on the IT side generally speaking. The other part you have of it is related to our solutions CapEx which is our main growth CapEx so to say and there we have ambitious to continue to grow that business in a really good way in 2025, which will also drive some needs for additional CapEx as well, hence why we are landing at the around 2.5%.
Johan Eliason: Okay. Thank you very much.
Operator: The next question comes from Sylvia Barker from JPMorgan. Please go ahead.
Sylvia Barker: Thank you. Hi. Good morning, everyone. A couple for me please. First, could I just check the boring question on hyperinflation in Turkey and how that -- how much that’s contributed in the quarter and maybe in relation to that could you comment on Group level volumes versus price overall in the quarter? And then secondly, in Europe, could you help us just understand a little bit better the dynamics by country. First of all, on the cost savings program, how does that split? Is it a specific country maybe, and then secondly, if we think about Germany and France, for example, the macro indicators have been quite weak. There’s possibly some structural change especially in Germany. What are you seeing in terms of organic growth and margins within Germany and then France excluding aviation? Thank you.
Andreas Lindback: If I start only related to the hyperinflation, so if you look at Europe, the hyperinflation was approximately half of the of the organic sales growth and on Group level it is around one-third of the growth coming from hyperinflation. On the question volume versus price, we should say, we saw volume growth in our technology and our solutions business in the quarter. On the Security Services side or on the Guarding side was mainly price driven growth where the volumes were -- volumes then was also impacted by some of the active portfolio management work that we do. In Aviation specifically we also saw some volume growth it was basically mixed there on the Aviation side. So I think that gives an overview of the volume versus price.
Magnus Ahlqvist: And then good morning Sylvia. When you’re looking at Europe and I’ll try to address your question the way I understood it. When you look at the performance improvement we had a few markets that were really starting to improve in 2023. I think the biggest difference when you look at 2024 and the performance uplift in Europe on the services side is that -- with this more of a broad-based improvement now and this is obviously an area that has taken a few years longer than I had wanted, but the important thing is that now it’s really happening. So the improvement is happening. When you look at the macroeconomic outlook. Yes, that is obviously something that we are seeing and we’re also in close dialogue with a number of the clients. But I would say a few things that are in our favor. One is that we are well positioned when you look at the different verticals. I would say that verticals where there is stronger growth and also high emphasis on quality of security and really driving innovation in terms of improved security, leveraging people and technology. There we are in a good position. Our offering is stronger. We have invested quite a lot as I commented on earlier as well in terms of our digital capabilities and we do that as well to be able to enhance the offering today to our clients, but also to ensure that we are on a different type of a journey in terms of evolving the offering based on data and insights essentially together with our clients. So I think that is another one and that’s also something that is well reflected also when I look at Europe and the new sales. So new sales and contracts that we are taking in at very healthy levels and the margins are also very healthy compared to average margins in the portfolio. And that’s important, because that also means that for new business we are winning business at the higher price and that’s not to say it’s an extraordinarily high price levels but with healthy margins and I think that’s important part. There are obviously some macroeconomic concerns, but I think the important thing for us when we’re looking at the people intensive part of our business on the Guarding side. I mean there is important that we are compensating wage increases with price increases. We have a very strong track record there and we continue to do good work, but that we also then continuously leverage also a stronger offering. So I wouldn’t be too kind of pessimistic in terms of our position even though it is somewhat of a gloomy and a mixed outlook when you when you’re reading the news in terms of the state of the economy at large in Europe.
Sylvia Barker: Okay. Thank you.
Operator: The next question comes from Andy Grobler from BNPP Exane. Please go ahead.
Andy Grobler: Hi. Good morning. Just three quick ones from me if I may. The first one just building on your previous answer. Growth rates have slowed a bit and with inflation coming down and portfolio management ongoing, how do you see that kind of rebuild of growth rates in the near- to medium-term and how confident are you that you can get those back to where they were? First question. Second one, just in the U.S., what is your government exposure -- Federal Government exposure and what are you seeing in those markets at this point? And then thirdly, just on Pinkerton, the systems integration, could you just talk through the timing of the expected improvement and how much that could be maybe by the end of this year? Thank you very much.
Magnus Ahlqvist: Thank you, Andy. Looking at the growth rate, yes, this this kind of elevated inflationary period is hopefully behind us. When you’re looking at our work, I mean, we continue with a strong focus on leveraging a stronger offering that is generating good healthy sales at high margins, like I indicated. So I think there we feel good in terms of the business that we are bringing in. When -- and there, I would say that, in terms of growth outlook going forward, technology, very important that we are now concluding successfully very large, very complex integration work of STANLEY. Because when that is done, as we’ve highlighted in the last couple of years, there is always a risk that that’s going to take quite a lot of effort away also from driving commercial activity. And I think here, our team is doing a really good job. When I look at the finish to the year, we feel good in terms of the performance in the technology part of the business. Broadly speaking, there are some areas where we still need to drive improvements. But generally speaking, I think there we have a strong -- stronger offering than ever when I look at technology. When you look at the services side, I would say that, in North America, we are operating at the higher performance level. So I think there, it was a big impact with the termination of this Aviation contract in 2024, a few more months, and then we will be beyond that in terms of not having that in the comparatives any longer. So I think that will help. But we also have strong commercial focus and good healthy commercial activity. So that also gives me a good feeling in terms of expecting as well that that growth will gradually also come back on the on the Guarding side of the business. When you look at Europe and Ibero-America, we’ve done really good progress in terms of new sales and that is healthy. When you’re looking at the active portfolio management, we still have important work to be done in Europe and that could then have a negative impact, but that’s also 100% consistent and in line with the strategy and the priorities that we have communicated a number of years ago. So I think there is more a matter of continuing to drive that in a disciplined way, making sure that we are building a healthier and healthier portfolio. But the reason it’s also taking some time is because we are respectful in any client relationship. And in the vast majority of the cases where we have done that work, the clients are also then saying that we want to keep Securitas as our key partner. So we’re usually able to find a solution. But it is obviously the case that there could be some negative impact from a very disciplined approach. But I am convinced 100% the right one for the market leader to that we are to also then drive this. So we feel pretty good. We are executing according to the plan. And I think over time, the most important thing is we just need to get this work done as well. And then we can then start to focus on optimizing the growth to also maximize the value that we’re generating as a company. When you’re looking at the Federal business in North America, we have a larger part which is called Critical Infrastructure Services business. That’s a fairly stable business. The need for security is stable as well. So I wouldn’t say that there is any change to a very significant exposure in that sense. And then looking at the Pinkerton business, this is a business where we’ve had really good development if you’re going 15 years back. But we had a tough 2024 upgrading from old systems and applications. But the reason that we have done these investments now, number one, I should say, we now really have a strong grip on the situation. So we started to see organic sales growth coming back and also profitability improving in the last couple of months. We have clear expectations that this improvement will continue throughout 2025. And it’s also an important part of our business strategically. The investments that are now behind us will also give us a platform to be able to grow that business in a good way over the next 10 years to 15 years. So fully in line with the strategy. But yes, we had a tough 2024, but we’re now on the right path.
Andreas Lindback: I can complement that the Federal Government business in the U.S. Securitas Critical Infrastructure. They are reported under other and not in North America. And they had a good quarter as well, based on the weak comparative should be said as well. But it was solid performance during the quarter.
Andy Grobler: Okay. Thank you. And just on the Federal business in the U.S., there’s a lot changing in the U.S. in a short period of time. Has there been any change to that business through the start of 2025?
Andreas Lindback: The Federal business? No. Not overall, we haven’t seen any real impact. And of course, it is -- there are some changes in the or decisions from the administration, as we know. So of course, it slows things down generally, maybe a little bit, but there is no major impact to the business today.
Andy Grobler: Okay. Brilliant. Thank you.
Operator: The next question comes from Suhasini Varanasi from Goldman Sachs. Please go ahead.
Suhasini Varanasi: Hi. Good morning. Thank you for taking my question. Just a few follow ups, please. On the divestment of the Aviation France business, do you anticipate any one-off costs linked to it once it comes out of the consultation process? And just in terms of accretion to margins, you mentioned that it is well below Group average, sorry, Europe average margins. So if it gets divested, does it maybe add 10 bps, 20 bps to European margins? Just want to run some quick calculations there. The second one is on the Q4, I mean, operating cash flow. I think in your presentation slide, you indicated that it benefited from both lower DSO and reduced organic sales growth. Just want to clarify what you meant by that comment on reduced organic sales growth, please? And the last one, do you have any initial thoughts on how you see 1Q organic growth and margin trends at this point? Thank you.
Andreas Lindback: Thank you. If we start with the potential divestment of in -- of the Aviation business in France, here we will now first await the result from the consultation process with the workers’ council and then come back with more details as an example on the one-off related costs as we are getting to closing. But what I can say, this will not have any material impact on the balance sheet nor cash flow, generally speaking. When it comes to the margin question, it is well below the European average margin and then -- that is what we say related to that. So basically, you need to make your own assumption here related to the exact impact. But I think that should give you good guidance as well, generally speaking. When it comes to the operating cash flow, I mean, looking at our working capital, trade receivables is the most important component and the key KPI related to that is the day sales outstanding, on average, how long does it take for us to get paid from the clients? There we have some -- when it comes to the DSO, we have seen good development here, this has really been a focus area and that is helping our cash generation. Then of course, growth is one of the key hampering effects to our cash generation. And in simple terms, you can say why is that? Well, in simple terms, when we are winning new contracts, we are paying our -- obviously our people and our guards at the end of the month normally or even more frequent in the U.S. While we will have to wait for payments from the client’s 30 days or 60 days, depending on the payment term. So growth hampers our cash flow and that is also why I’m referring to now as we’re going into a period with less growth, that also actually supports cash generation for us. And then when it comes to going into 2025, we’re not providing guidance specifically here. So I think the answer is, no, we will not comment more specifically around that.
Suhasini Varanasi: Thank you.
Andreas Lindback: Thank you.
Operator: The next question comes from Raymond Ke from Nordea. Please go ahead.
Raymond Ke: Hi. Good morning. A couple of questions from me, I’ll take them one-by-one if possible. First one regarding the strong cash flow you saw here despite tough cash flow comps. Last year, you expected it to be sort of a hangover effect in Q1 that followed due to strong collections in Q4. Should we expect an even bigger hangover effect following this or how should we think about cash flow seasonality ahead?
Andreas Lindback: I think how you should think overall related to our cash flow is that we have been generating 84% in 2024, 80% the year before and we continue to be focused on, I mean, we have a target of 70% to 80%. We always have the ambition to deliver at the upper end of that target. Can there be some hangover into the first quarter? Yes, it can, similar to last year. But you also saw the result looking at the total 2024 where we deliver a really strong cash flow. So I think that is how you should look at it. Yes, there could be some -- there can be some hangover after the strong collections we see every year in Q4, but that’s part of the normal seasonality that we have. And if you look at your broader question related to seasonality, like I said earlier, we have a much stronger Q3, Q4 compared to Q1, Q2. And if you look at the main drivers there, first, you have a negative impact in the beginning of the year because we are paying out incentives, we are paying out insurances. We’re also paying out some IT-related spend annually in advance. So that is one key component. And then when you look at the trade receivable side, you have stronger collections in Q3, Q4, and that is also driven by our clients. You have government clients, but also some of the corporate clients who want to clean off their balances for year-end, which helps us as well. And then, overall, I would say we have an accelerated focus in Q3, Q4 on cash collection. On the last point, that’s something that we are working quite a lot on to actually improve, that we have a more continuous focus on collections throughout the year and not so much tilted towards the end of the year. You saw some positive impacts from that this year, where sort of the first nine months was stronger compared to 2023, but here we have more work to be done to have a more structurally and less seasonality in our cash flows. Although I should say there are some structures reason why we will never get to Q1 being equal to Q4, but we can improve from here. So that’s how I see it going into 2025.
Raymond Ke: Great. And the question then about sort of data centers and your exposure there early in 2024, you sent out a PM [ph] about training 10,000 officers in data centers as professionals, about 3% of your employee force. Could you clarify a bit, maybe your exposure as a percentage of sales or a share of your employees that work towards data centers?
Magnus Ahlqvist: Thank you, Raymond. So, this is one of the reasons that I say we are well positioned strategically, because we have, I mean, we count a number of the leading technology companies in the world as very important clients. I would say that in many of those relationships we have kind of evolved from being one partner that they’ve had to become the partner, and there we have built and we continue to invest in building serious expertise in terms of data center security. And there obviously the really positive thing that we have today, it’s not so much about the volume itself. It’s the fact that we can provide Security Services with security officers and that type of security program, but then also leveraging very strong technology capabilities now. So this is also something that our technology team, our teams are essentially working together with these clients on optimizing the overall security program. So I think that that’s clearly a segment where we are very well positioned. We have invested, we have grown quite significantly, but also then a very positive outlook looking at the demand and the evolution as well over the next couple of years. So that’s really as much as we can say. But I think it’s, I’m glad you bring it up because it is also a good example where we are working in a very focused way with clients that really care about quality where security is very important. But we were also working in partnership to enhance the security question, but we’re also continuously investing in a stronger value proposition.
Raymond Ke: Yeah. Understood. But could you maybe provide some color, like, in terms of profitability, is it in line with the solution segment and even though you don’t want to maybe provide specific numbers about, but is it bigger than the Aviation segment or like just to understand a bit better about how much exposure you may have?
Magnus Ahlqvist: Yeah. I think the important thing is that the value placed on security, the value placed on having a really strong security partner, we are very well placed, because we have technology and people capabilities and also enhancing digital in a very good way. That essentially means that there is also willingness to pay. So I would say that margin and profitability is healthy in that segment, growth rate very good. But we’re not breaking out specific numbers. But if you ask the question, is this a very meaningful segment to Securitas? Absolutely, yes.
Raymond Ke: Got it. And then I wanted to also take the chance to ask a bit about the Critical Infrastructure, just to understand sort of given its size, could you help us understand the margin drivers in this business segment a bit more? Is it like similar to the solution segment here over time or is it man Guarding business margins over time? And do you think that if you talk about the 10% margin target over time, is Critical Infrastructure something that could remain in Securitas to achieve that or not? A bit more flavor on that. Thank you.
Magnus Ahlqvist: When you look at our Critical Infrastructure business, this is mainly Guarding Services to the government in the U.S. So no technology, no solutions. So that’s the answer there. So it’s not margins on a similar level as Technology and Solutions at all, no. Then when it comes to question, we are commenting upon any sort of divestment or anything like that. Like we said, I mean, we are continuous to assess the whole business to make sure it’s a healthy portfolio, that we have a good business mix, but also that we have the right sort of all businesses are driving the strategy in a good way. So not commenting upon individual business units.
Raymond Ke: Okay. Thank you very much, Andreas and Magnus. I’ll get back in line.
Magnus Ahlqvist: Thank you.
Operator: [Operator Instructions] The next question comes from Karl-Johan Bonnevier from DNB Markets. Please go ahead.
Karl-Johan Bonnevier: Yes. Good morning, Magnus and Andreas. First of all, congratulations to a very, very solid portrait and good to see the progression. Just a question on the business optimization program that you’re now adding to the structural enhancements of the Group and then maybe driving the European operation even further. When I look at the third focus area, the rationalization of non-performing businesses and I appreciate your comments about the active portfolio management in Europe, that they’ll have a lot of way to go. But when you’re now detailing it in this program, do you have any idea how big part of the revenue base that might be targeted here in this particular action that comes here?
Magnus Ahlqvist: It’s not significant from that perspective. We should make a distinction. It’s a good question. I mean, when we are saying business rationalization here as part of the program, this is the turn -- we have some business activities and some business areas that are not performing in Europe, where -- which we are then looking at turning around and restructure to get back on track. So, this is a small part from that lens and it’s also not any -- there are no sort of ideas to make any strategic assessment or divestments related here. This is operational turnarounds, I should say.
Karl-Johan Bonnevier: Okay. Thank you. And just…
Magnus Ahlqvist: Yes. Yes.
Karl-Johan Bonnevier: … on the technology -- sorry.
Magnus Ahlqvist: To build on that as well. I think this -- I look at this, I mean, number one, it’s not such a big program. It’s a very good opportunity for us to now also help and accelerate our positive development as we go forward, because we have been investing a lot, we’ve been building scale in our different lines of the business and what we are seeing there as we are progressing and also then finalizing a lot of the integration work, for example, in technology, but also with sharper services businesses, we’re seeing opportunities to run the business in a more efficient way. And that’s really a combination of scale, but it’s also then very much a positive consequence of operating and driving the business in a more modern way, based on more advanced systems and also applications, which is then also enabling some of the automation opportunities. So, I wouldn’t overemphasize the importance of this, but I think it’s a great opportunity for us to further accelerate the development in line with our strategy and that’s essentially what we are doing here.
Karl-Johan Bonnevier: And on that note, Magnus, when you now think about this as another program, if you put it like that, do you feel that you now have a structure that more of these kinds of programs will be unlikely, if you’re putting it like that and it will be more normal kind of business there -- business as usual kind of progression, looking at these kinds of things rather than figuring it out?
Magnus Ahlqvist: Yeah. Absolutely. Because when I started, I know you’ve been with us on this journey as well. I mean, when we announced the strategy and how we were going to create what we then called the new or the future Securitas, it was very much along the themes of modernizing the company, digitalizing the company in the way that we work end-to-end from client to our frontline people, be them technicians or officers who are out with our clients, but then also building up a technology capability and technology business. And all of that, given the size of Securitas, it’s been quite extensive work and very extensive investments as well. And I would say that a lot of that really heavy lifting and really touching all parts of the business, it’s been extensive, but it feels good now as well, because now we can focus more effort on fine-tuning and optimizing how we run the business. And then also to do what’s most important to that is to have the vast majority of our focus on our clients and developing the relationships together with them. So I think it’s a clear yes to the question that a lot of this kind of heavy transformation, a very extensive change that we have been driving. We are now building a better platform and we have started to -- also start to see some of the benefits from that and that’s obviously something that I expect that we’re going to continue to be able to leverage in a positive way in the years to come.
Karl-Johan Bonnevier: Excellent. And just one more detailed question on the technology side. Could you give us any idea how you’ve seen the portfolio subscription-based business growing during this year?
Magnus Ahlqvist: Yeah. In terms of the recurring monthly revenue, healthy development, healthy order intake, healthy development overall on the portfolio. So I think that is something that another one of those areas where we have significant strength, the development has been good, but it’s also a very important focus here when you’re looking at the next five years, six years in terms of how we continue to evolve that and develop that part of the business, because that’s obviously a very important part also from a stability in terms of profitability. But to me, it’s also very much a sign of delivering very good value to our clients that we have a strong offering that is a platform to develop a good portfolio with recurring monthly revenue.
Karl-Johan Bonnevier: Yeah. And I guess if you look over your KPIs that you report on to us in the market here going into 2025, I guess that would be an interesting number to have there?
Magnus Ahlqvist: Yeah. We are driving that with full attention internally. What we then decide to disclose, et cetera, I mean, that we will come back with, but we -- it is -- you’re right, it’s a very important part of the technology business and just higher attention also as we go forward.
Karl-Johan Bonnevier: Thank you very much and all the best out there.
Magnus Ahlqvist: Thank you.
Operator: There are no more questions at this time. So I hand the conference back to the President and CEO, Magnus Ahlqvist, for any closing comments.
Magnus Ahlqvist: Many thanks to all of you for your continued engagement and very good questions. We’re on the right path and looking forward to seeing you during 2025. Thanks a lot, everyone.